Operator: Good morning. My name is Joanna, and I will be your conference operator today. Welcome to Canfor and Canfor Pulp's Fourth Quarter Analyst Call. [Operator Instructions] During this call, Canfor and Canfor Pulp's Chief Financial Officer will be referring to a slide presentation that is available in the Investor Relations section of the company's website. Also, the companies would like to point out that this call will include forward-looking statements. So please refer to press releases for the associated risks of such statements. I would now like to turn the meeting over to Mr. Don Kayne, Canfor Corporation's President and Chief Executive Officer. Please go ahead, Mr. Kayne.
Don Kayne: All right. Thank you. Thank you, operator, and good morning, everyone, and thank you for joining the Canfor and Canfor Pulp Q4 2023 Results Conference Call. I'm going to make a few comments before I turn things over to Kevin Edgson, Canfor Pulp President and Chief Executive Officer; and Pat Elliott, Chief Financial Officer of Canfor Corporation and Canfor Pulp and our Senior Vice President of Sustainability. In addition, we are joined by Kevin Pankratz, our Senior Vice President of Sales and Marketing. Before talking about our results, I'd like to begin by acknowledging our dedicated employees around the globe, who have worked relentlessly to navigate the challenging marketing -- or market environment of 2023 to continue to improve our competitiveness and to deliver on our strategic priorities. Canfor's achievements are only possible through the abilities and commitment of our people, and I'm extremely proud of the resilience they demonstrate every day. 2023 was a year of significant volatility. In addition to very difficult lumber markets, we also experienced extremely high log costs, reduced shipping volumes at an extremely difficult operating environment, particularly in British Columbia, where conditions have been further exacerbated by a lack of access to economic fiber. This led to a series of difficult decisions taken to create a more sustainable operating footprint by optimizing and aligning our manufacturing capacity in British Columbia with the available long-term supply of economic fiber. Production at our BC operations was reduced by a total of 750 million board feet in 2023 through the permanent closure of our Chetwynd sawmill and temporary closure of our Houston sawmill as we look to firm up plans going forward. Late in 2023, we also announced a fiber-driven temporary curtailment at our Polar sawmill, which began in January 2024. The reconfiguring of Canfor's operating portfolio in British Columbia underscores our commitment to fulfill our smaller but stronger operating footprint. We regret the impact that these closures and curtailments have had on our employees, our First Nations partners, small businesses, contractors and communities. I'd also like to thank the United Steelworkers union for their partnership supporting our employees through the transition. 2023 was also a devastating wildfire season with both BC and Alberta setting wildlife -- or wildfire severity records. First and foremost, we recognize the lives tragically lost, and extend our appreciation to the BC and Alberta wildfire services, emergency responders and the many volunteers that kept people, communities and infrastructure safe while helping to preserve provincial forest resources. The impact of wildfires on available timber supply is best mitigated by expedited salvage harvesting. We have had solid success with this in our Alberta operations, while in British Columbia, the slow approval process has resulted in a slower salvage operation. We will continue to work collaboratively with the BC government, First Nations and forest stakeholders in an effort to increase the supply of economic fiber. The challenges of 2023 underscore the importance and value of Canfor's globally diversified supply and customer base through our operating footprint in the U.S., Europe and Alberta, while maintaining a smaller but stronger presence in BC. Our diversified business portfolio creates resilience to changing market dynamics and fluctuations in demand, giving us access to new global markets and the resources, flexibility and reliability to consistently provide our customers with competitive high-quality products. Despite the down cycle we are currently experiencing, we have made considerable progress on several strategic initiatives in 2023. Construction was complete on our first state-of-the-art greenfield facility in DeRidder, Louisiana that began operation in Q1 2023 and continues to outperform our start-up expectations. Development of our Axis, Alabama second greenfield project is on budget and scheduled to start up in Q4 2024. Similarly, our brownfield project at the Urbana, Arkansas facility is progressing well. $130 million investment will increase production capacity there by 115 million board feet and improve manufacturing flexibility to accommodate additional high-value products. At our European operations, in October, we closed on the strategic acquisition of a small value-added facility in Ingarp and announced an investment of approximately $85 million at Vida's Bruza Sawmill, which will expand production from 175 million board feet to 240 million board feet. Turning to our financial results. And due to the ongoing affordability issues related to overall inflation and interest rate levels, our industry experienced a sharp decline in global lumber prices in 2023. Notwithstanding market dynamics and challenges in British Columbia, we generated solid financial results in Europe and the U.S. South in 2023, again, highlighting the value of our diversification strategy. Despite the significant capital investment made in 2023, our balance sheet remains strong with over $350 million of net cash at the end of December, supporting continued reinvestment in our operations over the next several years. With our smaller but stronger footprint in British Columbia and the organic growth initiatives in the U.S. and Sweden, we anticipate a significant reduction in our pro forma cost structure, increased production capacity and increasing geographic diversification. While lumber prices are anticipated to remain under pressure in the short term, our strategy is supported by the strong underlying market fundamentals over the medium to long term. While we are prepared to remain patient until the right opportunities present themselves, our balance sheet strength will support various external growth initiatives as we look to further grow our lumber business globally. And with that, I will now turn it over to Kevin to provide an overview of Canfor Pulp.
Kevin Edgson: Thank you, Don, and good morning, everyone. 2023 was a challenging year for Canfor Pulp with our results reflecting weak global pulp pricing and the impact of extensive sawmill curtailments due to weak lumber market conditions and the lack of economically available fiber. As a result of resistant fiber supply challenges, we permanently closed our Taylor facility in 2023 and made the difficult decision to close the pulp line at our Prince George Pulp and Paper Mill in April of the year. I'd like to thank our employees for their dedication, perseverance and commitment to safety as we responded to the external pressures facing our business. While these decisions were not taken lightly, we were required to support the long-term sustainability of Canfor Pulp. Looking ahead, we remain focused on improving our operating performance and cost structure while optimizing the available fiber supply. Turning to our financial results. Following the restart of Northwood in October, we saw a significant improvement in productivity rates at both our pulp mills, which support improved results in the fourth quarter. As previously mentioned, we have identified a significant capital reinvestment plan at all our mills to further support productivity and reliability. So we remain committed to this recapitalization. The timing and magnitude of spend is still to be determined and will be completed as market financial circumstances allow. As such, capital spending in 2024 will likely remain modest. I will turn it over to Pat to provide an overview of our financial results.
Patrick Elliott: Thanks, Kevin, and good morning. The Canfor and Canfor Pulp fourth quarter and 2023 annual results were released yesterday afternoon. In my comments this morning, I'll speak to the fourth quarter financial highlights, a summary of which is included in our overview slide presentation located in the Investor Relations section of Canfor's website. Our lumber business generated an operating loss of $162 million in the fourth quarter, which included a $30 million recovery of a previously reported write-down inventory in Western Canada and a noncash duty expense of $82 million related to our anti-dumping duty accrual rate. Adjusting for these noncash items, our lumber business generated an operating loss of $111 million in the fourth quarter. These results reflect significant losses associated with our BC operations due to weak lumber pricing and persistently high log costs as we continue to be faced with challenges accessing economically viable fiber. Our U.S. South operations saw a sharp decline in earnings in the fourth quarter led principally by an 18% decline in the Southern Yellow Pine 2x6 benchmark lumber price quarter-over-quarter. Our European operations contributed $16 million of cash earnings in the fourth quarter with increased production and shipments partly offsetting the impact of lower pricing. In 2023, our European operations contributed approximately $150 million in cash earnings, reinforcing the value of our diversification efforts over the last several years. Canfor Pulp generated an operating loss of $15 million in the fourth quarter, which included an $11 million [indiscernible] previously recorded inventory write-down. On an adjusted basis, Canfor Pulp generated operating loss of $26 million in the fourth quarter, an improvement of $25 million quarter-over-quarter. These results largely reflect a moderate improvement in global pulp pricing and a 20% increase in pulp production in the fourth quarter. As Kevin mentioned, following Northwood's challenging restart in October, our pulp mills benefited from an improved operating rate through the balance of Q4. At the end of the fourth quarter, Canfor Pulp had net debt of $86 million and $147 million of available liquidity, of which $80 million is restricted for use towards future reinvestment in Northwood's recovery boiler number one. On a consolidated basis, capital expenditures were approximately $172 million in the fourth quarter, including approximately $22 million for Canfor Pulp. Capital spending totaled $587 million in 2023, of which $61 million was for Canfor Pulp. We anticipate capital spending of approximately $400 million in the lumber segment in 2024, including remaining spend on our Alabama greenfield and various organic growth initiatives in the U.S. South and Sweden. For Canfor Pulp, we're currently forecasting capital spend of $40 million in 2024, including capitalized payment. In addition, we anticipate Canfor will continue to allocate a modest amount of capital to opportunistically repurchase shares throughout the year. And with that, Don, I'll turn the call back to you.
Don Kayne: All right. Thanks, Pat. And with that, operator, I'll -- we're now ready to take questions from the analysts.
Operator: [Operator Instructions] First question comes from Ketan Mamtora at BMO.
Ketan Mamtora: First question, on the European lumber business, can you talk about trends you are seeing thus far in 2024? We saw a pretty big drop in Q4 lumber EBITDA. Can you talk to sort of the price trends that you're seeing in Europe?
Kevin Pankratz: Sure. Ketan, it's Kevin here. Actually, I was just over in Europe there last week, so your timing is good. And actually, for the first quarter, we're actually seeing improved pricing for a lot of the European markets and in other markets as well, like in the MENA markets and the Asian markets in which they serve. A lot of it in Europe is not necessarily predicated on increased demand like increased construction activity, but rather very low inventories in the field and the need to replenish. So we are actually seeing improved pricing, and then we're just waiting to see how that will continue into Q2.
Don Kayne: One thing I -- maybe we might even say too, Kevin, because I know you've been working on this, too, the one thing that's worth mentioning is that in Europe, where we don't have everywhere else, you don't have, say here in North America, is flexibility too on markets, right? And so you look at -- Kevin talked about Middle East, North Africa, and you've got Australia, you've got Asia, and you've got North America and a number of other areas as well. So that's one of the advantages that we do have in Europe that we don't see to the same degree anyway in North America is -- and with having those kind of options, it really allows you to continue to maximize the revenue as you look forward. So we're -- and we're seeing that and continue to see that. And I just wanted to add that maybe.
Ketan Mamtora: Great. No, that's very helpful. So Kevin, given what you just said in terms of low inventories and pickup in activity, how do you expect that to impact import into the U.S.? Would you expect it to kind of be at the levels that we've seen here in the last little bit? Do you expect it to go up, go down? Any thoughts there?
Kevin Pankratz: Yes. Ketan, I would say that we're definitely seeing for the first quarter lower shipments. You're seeing less inventory at the docks in Europe. As Don expressed and I mentioned to you, there is actually pretty good options for them currently in the quarter. And it also takes them a bit of a lead time. It's not like North America where you can react very quick. They have to plan their supply chains, get the stock available to compare it to the docks and then -- and share. So if we're going to see any kind of increased shipments, it's probably going to be more of a Q2 play, but a lot's going to have to develop by then to see what's going on with currencies and with demand and pricing and other options. But overall, I would just say -- I would -- our view was that we'd be trending lower than last year the European shipments into North America.
Operator: The next question comes from Sean Steuart from TD.
Sean Steuart: A question on the CapEx plan for 2024. You guys referenced the Alabama, Arkansas and Swedish sawmill projects but didn't reference the Houston rebuild. Just any updated thoughts on that project and whether BC Land Act legislation, broader regulatory friction in the province has any bearing on your commitment to reinvesting in BC? Any comments there, Don?
Don Kayne: Yes, for sure, Sean. Maybe I'll take that one just quickly here. So just to start with, in terms of Houston, I guess what I would say at this point is still progressing. At this point, we're working through some of the environmental permitting that has happened and some engineering that is being also done at the same time. I guess the second part of your comments there, what we're also doing in conjunction with that at the same time and partly because of the Land Act, but probably just overall the British Columbia and some of the uncertainties that we spoke about before, we're just continuing to monitor the policy environment here at BC. And we'll continue to do that and -- as we look forward. In terms of the Land Act, as you know, that was canceled. The amendments that they were proposing have been, at least at this time anyway, canceled. So we'll see what happens down the road here. So that's maybe all I can say at this point.
Sean Steuart: Okay. And just maybe more to the point, the $400 million of CapEx allocated to lumber in the plan, is any -- how much of that would be for Houston?
Don Kayne: Yes, very little if any. Just a small amount, just the engineering part, which is minuscule, not even probably worth talking about.
Sean Steuart: Okay. And then more broadly on the CapEx plan, the overall guidance is 25% reduction year-over-year. Given the balance sheet strength, you have no liquidity constraints. Some of your competitors have noted pressure on organic project returns as being a concern and a reason for them curbing their CapEx plans. Any directional commentary on the lesser spend this year? Is it just a function of some of the bigger projects already being wrapped up? Any broader thoughts on the CapEx plan?
Don Kayne: Not really. I mean I think the main point is that, you might be interested in this, is the strategic projects that we have identified, and we've been clear about, I think, from day 1, they're all on schedule. We haven't tempered them whatsoever. So there's -- I think there's always things you need to look at all the time, and you got opportunities to adjust and we've sort of done that. But in terms of any impact on what we're trying to accomplish or from a strategic standpoint in growth and modernizing our sawmills, there's no change whatsoever. And if we need further flexibility down the road, we've got it. We've talked about that before, and that still exists today.
Operator: Next question comes from Hamir Patel at CIBC Capital Markets.
Hamir Patel: Don, given the various projects you have underway in the South and current lumber markets, would you still anticipate shipment growth out of the Southern platform in 2024?
Don Kayne: Did you say shipment growth, Hamir?
Hamir Patel: Yes, lumber shipments.
Don Kayne: Yes, for sure. And as these operations come online, we'll definitely see that from that. And also if you go back some of the organic capital that we spent over the last 2, 3 years, too, in terms of modernizing our business, you heard us talk about Canada and a few other operations, all that is benefiting us. And so we will see more next year -- or this year, excuse me, for sure.
Hamir Patel: Okay. And Don, are you able to maybe quantify what kind of uplift you might expect?
Don Kayne: I think Pat...
Patrick Elliott: I mean this is going to be -- a lot of it is ramping up late in the year. So I mean, I think we're shipping sort of in that [ 4 30 to 4 40 ] in Q4. And so it will be a little lift from there, but it's not going to be passive. The bulk of it's going to be in 2025 and beyond.
Hamir Patel: Great. And just the last question I had was on Europe. We've seen some of your peers that operate in Central Europe benefit from temporarily much lower fiber costs. Don, just given your own experience with the beetle in BC, how do you see the relative cost position of your Swedish assets playing out over the next couple of years just as maybe fiber cost resets in Central Europe?
Don Kayne: Yes. I mean I think there's pretty 2 distinct areas, too. You're talking about Central Europe. There's certainly -- our log costs are coming down. The log quality there is nearly as good as what we see in Northern Europe for sure. So that's a big differentiating factor to start with. However, saying that, in Europe, you're in Northern Europe and especially in Sweden and Finland, too, I guess for that matter, definitely log costs have gone up. But the one thing that we also talk about on a regular basis, we've got lots of flexibility there in terms of the value-add contribution that we're able to deliver up in those mills and quite significantly more than what you typically see in Central Europe. And that's a huge offset and a huge advantage. And it's the reason -- it's the strategic reason why we've chosen Northern Europe to really focus on versus Central Europe.
Operator: Next question comes from Ben Isaacson from Scotiabank.
Ben Isaacson: First question is on European imports into the U.S. You talked about prices rising this quarter in Europe. How much more do they have to rise before netbacks no longer make sense to export to the U.S.? I'm just also thinking about higher freight rates as well.
Don Kayne: Kevin, you want to...
Kevin Pankratz: I'll take a bit of a fly there. It really varies there, Ben. Like it depends on exchange rates and some of the -- and not a lot of European mills 100% can actually switch and chase after the U.S. market, whether they have the great staffs or they have the planning and finishing capacity. But it really does vary. I don't know. It could be in that $50 to $100 range potentially or...
Ben Isaacson: That's helpful. Second question is given the weather that we've seen in BC so far this quarter, have there been challenges building log inventory as you think about rolling into Q2?
Don Kayne: Absolutely. And for sure, the weather has been a -- it's been a particularly mild winter for sure, and we're feeling the effects of that. We've had the cold spell, too, which has had issues, too. So generally speaking, overall, the log inventories are low compared to where they ought to be and normally are for this time of year. So that will definitely have an impact here as we move into the spring.
Ben Isaacson: Last one for me is visibility into the channel inventory of the whole supply chain. Can you talk about how lumber inventories have evolved quarter-over-quarter to the extent that you have any visibility beyond yourselves?
Kevin Pankratz: Yes, sure. From a customer perspective, I would say it's lower than historical norms there, Ben. And that even when you look at inventory at the ports, like we're starting at a much lower position than this time last year. So that's going to -- if we do see a little bit of pickup in demand, there's just going to be a little bit more attention than we would have had this time last year. But overall, I would say inventories are more or less balanced right now for like our pros in that segment there, but they are lean and tight. And they've got a good book of business going into March, April. And so I just don't think there's any surplus inventory in the market at all.
Don Kayne: So if you really look at it, too, Ben, I think if you look at overall R&R, at least from our standpoint, it's been better than we think, Kevin, harder -- and when you look at the percentage of single-family house, it has remained pretty strong. Actually, it probably increased. And we know the multiplier there in terms of lumber used versus multifamily. So that's been actually pretty good. And then you factor in there's been a lot of downtime overall. And notwithstanding all the numbers regionally, but there's been a significant decrease in British Columbia, for sure. There's been some downtime in Alberta. There's been lots of downtime even in some other parts of Europe. So when you really think about it over time here, logically, you think that it will create some pressure on prices here at some point. That's certainly what we believe.
Ben Isaacson: Very last one for me is oddsmakers have Trump winning the presidency. And what could that mean for Canfor if we see Trump winning in terms of what policies he has talked about?
Don Kayne: I mean I think if I heard your question correctly, we don't really see a lot of change there whatsoever. I mean we're focused on the now, and we'll focus on the future. I -- we don't see any change whatsoever at this point anyway.
Operator: [Operator Instructions] Next question comes from Matthew McKellar at RBC Capital Markets.
Matthew McKellar: I think you talked about seeing yourselves as continuing to have capacity to invest in some global growth here. Could you just give us an update on what you're seeing in terms of the M&A landscape at present?
Don Kayne: Yes, for sure. I mean it's something as we talked about kind of regularly, Matt, every quarter. Certainly, the -- Europe and the U.S. as the key areas that we focus on and continue to look at. But we've been super patient, and we'll continue to be patient here. And in a lot of cases, where we looked at a couple of years ago or less today even, but right now, we're just continuing to keep an eye on that at the same time. And really, at this point, unless it's a significantly strategic opportunity, we'll probably pass right now, right? And we still think there's a ways to go in terms of being more competitive on the M&A front here. So we're -- at this point, we're just watching it, super careful, super disciplined, super thoughtful.
Operator: The next question is a follow-up from Ketan Mamtora at BMO.
Ketan Mamtora: I'm just curious how -- what kind of demand trends you are seeing in some of your key end markets? I'm especially curious about repair and remodeling. Can you talk to sort of what kind of trends you are seeing there?
Don Kayne: Kevin, why don't you take a shot?
Kevin Pankratz: Sure, yes. So on the R&R market there, we're still pretty optimistic with the drivers that are supporting that. The age of the U.S. homes is significant, and that's driving a really positive takeaway there. And you got to think this -- for the first 6 months of 2023, they were at a very high base running, and then they tempered off for the back half. But we're tracking Q1 of this year. They were actually tracking at a pretty good pace like we saw in 2023. So the outlook looks fairly positive, and they're also well positioned. They're also going after a bit more of that pro business, and they're continuing to invest in that segment there. And so I think they're well on track there. As Don mentioned there, too, we're seeing our pro segment being quite active, as I mentioned earlier. Both have got a pretty good book of business into March and April. January was a really tough start weather-wise, and it did a pretty good impact of our R&R takeaway early in January and the Texas markets. And those are all rebounding quite strong. So I think we're seeing some positive trends. A long ways to go to get prices where we need them to be, but we are seeing some encouraging trends.
Ketan Mamtora: Understood. So Kevin, just for the -- if I understood you correctly, Jan was off to a slower start, but you are seeing kind of now activity come back as we move through kind of Feb and into March. And right now, volumes are kind of flattish year-over-year. Is that the right read?
Kevin Pankratz: Yes. I mean it's -- January is a slower start, but we're more than making up for that start into the balance of the quarter.
Ketan Mamtora: Understood. Okay. And then just one last question. I mean recognizing that it has been a difficult and challenging environment, how -- what is your approach towards kind of managing production as we move through the first quarter? And if you can talk to sort of any temporary curtailments you are taking, whether in terms of shifts or just the utilization rate, that would be helpful.
Don Kayne: Real simple. We just want to -- and we will continue to match the production levels with market demand and availability of economic fiber, period. And that will -- that's been the way we've been kind of operating for a while, and we'll continue to do that and keep our eyes out. And we won't be afraid, though. If we have to take some downtime, we will.
Operator: There are no further questions. I'll now turn it over to Don Kayne for closing comments. Go ahead, Mr. Kayne.
Don Kayne: Well, thanks. Thanks, operator, and thanks everyone for joining the call and for your interest in Canfor. We certainly appreciate that, and look forward to talking to you at the end of the next quarter.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating, and we ask that you please disconnect your lines.